Operator: Good morning. My name is Joelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pason Systems, Inc. First Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. The contents of today's call are protected by copyright and may not be reproduced without the prior written consent of Pason Systems Inc. Please note the advisories located at the end of the press release issued by Pason Systems yesterday, which describe forward-looking information. Certain information about the company that is discussed on today's call may constitute forward-looking information. Additional information about Pason Systems, including the risk factors relevant to the company, can be found in its annual information form. Thank you, Celine Boston, CFO, you may begin your conference.
Celine Boston: Thank you, operator. Good morning, everyone, and thank you for attending Pason's 2024 First Quarter Conference Call. I'm joined on today's call by Jon Faber, our President and CEO. I'll start today's call with an overview of our financial performance in the first quarter, Jon will then provide a brief perspective on the outlook for the industry and for Pason and we'll then take questions. I'm very pleased to report on Pason's first quarter 2024 results, which incorporate results from newly acquired Intelligent Wellhead Systems and also demonstrates our continued ability to outperform industry drilling activity. Pason generated $104.8 million in revenue in the first quarter, a 7% improvement from the $98.2 million generated in the first quarter of 2023, despite a 15% reduction in North American industry drilling activity in that same period. I'll start with an overview of segment performance for the quarter. Against a challenging industry activity backdrop, Pason's North American Drilling business unit generated revenue per industry day of $1,000 which represents a new quarterly record for the company and an 8% increase from the level seen in the first quarter of 2023. With the 15% decline in industry activity, mostly driven by the US market, the North American Drilling segment generated revenue of $73.6 million for the first quarter, which was only 8% lower than the first quarter of 2023. The segment cost base remains mostly fixed in nature and saw slightly higher repair costs year-over-year, resulting in segment gross profit of $44.4 million in the first quarter of 2024 compared to $52.6 million in the first quarter of 2023. Our International Drilling segment generated $14.6 million in quarterly revenue, which represents a 6% decline from the first quarter of 2023, primarily resulting from the devaluation seen in the Argentinian peso and the resulting impact on translation to the company's Canadian dollar reporting currency. The devaluation had a similar impact on operating expenses and the segment's gross profit in the first quarter of 2024 up $7.8 million or 53% of revenue compared to $8.4 million or 54% of revenue in the 2023 comparative period. On January 1st, 2024, Pason closed its acquisition of all remaining and outstanding shares of Intelligent Wellhead Systems, or IWS, which is a completions technology business. The IWS acquisition was funded with $88.2 million in cash on hand, of which $77.8 million was paid at close and $10.5 million was paid early in the first quarter. Pason previously accounted for its noncontrolling investment in IWS as an equity investment and starting in January 1st, 2024 IWS' financial results are consolidated within the Pason Group and reported in a newly formed completion segment. With the move from equity accounting to acquisition of control and associated consolidation, Pason recorded a $50.8 million noncash gain on the revaluation of its previously held equity interest. This gain was reported through other income on the company's financial statements for the three months ended March 31st, 2024, and has not been incorporated within the company's adjusted EBITDA calculation. With the addition of the Completions segment, we now report two operational metrics for users of our financial statements to assess operating performance of IWS. The first is IWS active jobs and represents the number -- the average number of jobs per day that IWS is generating revenue on through the rental of its technology offering to customers during a reporting period. This measure will provide a sense of IWS' market penetration. The second is revenue per IWS Day, and this measure represents the total revenue generated by IWS over all IWS active days during the reporting period with IWS active days calculated using IWS active jobs. This measure will provide a sense of IWS' pricing and product adoption. In the first quarter of 2024, Pason's Completions segment had 28 active jobs and a revenue per IWS day of $5,026. This resulted in quarterly revenue of $12.8 million. Revenue per IWS day will fluctuate depending on the mix of jobs and the type of IWS technology used by customers going forward. Gross profit for the segment of $1.2 million represents operating expense investments made for the rapid growth IWS has seen, along with $4.4 million in depreciation and amortization expense associated with the property and equipment and intangible assets acquired on January 1st, 2024. Energy Toolbase, which is reported within our solar and energy storage segment generated $3.7 million in quarterly revenue, an increase of 31% from the 2023 comparative period with increased control system sales year-over-year. Segment gross profit for the quarter was $0.2 million compared to a loss of $66,000 in the first quarter of 2023. Sequentially, Pason's results benefited from strong industry activity in Canada through its winter drilling season and the addition of IWS financial results, while US rig counts fell slightly quarter-over-quarter. Both revenue and adjusted EBITDA improved from the fourth quarter of 2023 to the first quarter of 2024, while a sequential comparison of margins reflects the addition of IWS revenue at lower margin levels given its earlier stage. Consolidated adjusted EBITDA in the first quarter was $42.5 million or 40.5% of revenue compared to $52.4 million or 53.4% of revenue. Adjusted EBITDA margin in the first quarter was impacted by lower industry activity levels in the North American Drilling segment over our mostly fixed cost base, along with the addition of lower margin revenue from IWS given its current stage of maturity and growth. We will continue to manage our fixed cost structure towards our expectation of upcoming activity levels and with the acquisition of IWS in the first quarter. Further, we will make the necessary investments in our cost base to deliver on further revenue growth and create opportunities for long-term free cash flow generation. As we've seen many times in Pason's history, growth in industry activity levels in the company's North American Drilling segment would highlight the significant operating leverage within the business. Net income attributable to Pason for the three months ended March 31st, 2024, was $69.5 million or $0.87 per share an increase from $35.8 million or $0.44 per share generated in the first quarter of 2023, for which the increase is primarily from the previously mentioned $50.8 million accounting revaluation gain on the IWS acquisition. Our balance sheet remains strong and coupled with our free cash flow generation allows us to make growth-related investments while returning meaningful levels of cash to shareholders. Net capital expenditures in the first quarter of 2024 totaled $19.3 million, which included $4.8 million of carryforward CapEx from 2023 and also the addition of capital expenditures for IWS' business as we make investments to support their growth trajectory. Resulting free cash flow in the first quarter of 2024 was $11.7 million compared to $34.7 million in the first quarter of 2023. With this free cash flow and cash on hand, we returned $13.6 million to shareholders through our quarterly dividend and share repurchase program. We also repaid $13.3 million in outstanding debt acquired through the IWS acquisition and ended the year with total cash, including short-term investments of $74.2 million and no interest-bearing debt. In summary, we are very well positioned for growth with our established position within drilling and our growing position in completions in solar and energy storage. I will now turn the call over to John for his comments on our outlook.
Jon Faber: Thank you, Celine. Our financial results for the first quarter of 2024 highlights the strength of our competitive position in our drilling related segments as well as the significant opportunities for growth that Pason has in the drilling market, the completions market and the solar and energy storage market. Consolidated revenue in the quarter was 7% higher than the prior year period despite North American land drilling activity being down 15% over the same period. While Pason would benefit from growing North American land drilling activity, our ability to deliver meaningful growth and strong financial results is not dependent on higher activity levels. There are three important ways in which we look to grow even in an environment where we anticipate North American land drilling activity to remain near current levels for much of 2024 before slowly increasing later this year and into 2025. First, we look to outpace underlying industry activity through growth in North American revenue per industry day. Second, we are growing our international revenue and third, we are generating increasing revenue from high growth markets, including technology offerings in the completions market and in the energy -- solar and energy storage market. I'll speak to each in turn, beginning with North American Drilling. Our North American Drilling segment displayed the strength of its competitive position by achieving revenue per industry day of $1,000 in the quarter. This marks a notable milestone in Pason's history. Revenue per industry day has increased at a compound annual growth rate of 8.4% over the five-year period since the first quarter of 2019 and largely as a result of strong product adoption and improved price realization. We anticipate that growing demand for high quality data driven by customers deploying a wider range of data driven technologies will result in continued growth and adoption of our core product offerings, most notably in the area of data delivery products. Our new mud analyzer, which provides customers with continuous real time readings of critical drilling mud parameters has experienced very positive early market response. The list price of $1,000 per day for the mud analyzer compares very favorably to Pason's overall revenue per industry day and with growing adoption of the mud analyzer as it rolls out more broadly into the market, it has the potential to make a meaningful impact on this important metric. We have also seen accelerating traction among our automation products, most notably the Drilling Advisory System and Toolface Control. Our second important area of growth is international markets. Our International Drilling segment continues to post strong results, generating $14.6 million in the first quarter. Market dynamics and geopolitical conditions and their impact on near-term activity vary across our international markets. But across the markets, we see continued favorable trends of growing technology adoption and a greater use of drilling data in planning and operations. The third growth area I mentioned earlier was our investments in higher growth markets, namely completions technology and solar and energy storage. Obviously, North American completions activity is directly correlated with land drilling activity. That said, the use of data in technology and completions significantly lags its usage in drilling. As a result, we see strong growth over the short to medium term as companies more fully utilize data driven technologies to further drive efficiencies in their completions. IWS generated $12.8 million in revenue in the first quarter, representing an all-time high for the business on the strength of $5,026 in revenue for IWS Day. The most significant impact on IWS' growth in the short to medium term is likely to be the increased use of technology within the completions market and we also expect further gains in product adoption. We are also bringing together the unique expertise and experience of Pason and IWS to develop a compelling data aggregation and data delivery offering for the completions market. In order to access the full benefits of data driven technologies, the completions market will need access to reliable, consistent, high quality data and we believe that Pason's long history of providing drilling data to customers gives us a unique ability to meet this need and completions. In the solar and energy storage market, government regulations have motivated deployment of a larger number of energy storage assets. As customers look to optimize the performance of those assets, Energy Toolbase has seen a large increase in its pipeline of sales opportunities for energy management control systems. ETB posted revenue of $3.7 million in the first quarter with the 31% year-over-year growth, driven primarily by the sales of additional control systems. Quarterly revenue for ETB will fluctuate as a result of timing of control system deliveries. We're also continually increasing the functionality of our leading economic modeling and proposal generation software tool to address the requirements of additional end markets. Our priorities with respect to capital allocation remain focused on pursuing attractive growth opportunities while returning meaningful capital to shareholders. We continue to expect capital spending of between $75 million and $80 million in 2024, including approximately $5 million in anticipated 2023 capital expenditures, which were impacted by the timing of deliveries. We will continue to pursue disciplined returns over time through our regular dividend, which we are maintaining at $0.13 per share. We maintain flexibility in our approach to shareholder returns by evaluating share repurchases in the context of attractive organic capital investments to generate additional free cash flow. We evaluate our capital program with a focus on increasing revenue, generating free cash flow and creating value for shareholders over time rather than simply in response to prevailing near-term industry conditions. Our balance sheet remains strong. As at March 31st, we had $74 million in total cash, including short-term investments and positive working capital of $119.6 million. The strength of our business allows us to make the required investments to secure our position as the leading provider of drilling and completions data and technologies to pursue additional sources of revenue outside oil and gas drilling and to return meaningful capital to shareholders. And we would now be happy to take any questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Keith MacKey with RBC Capital. Your line is now open.
Keith MacKey: Hi. Good morning. Just wanted to start out with a question about your presence in the Permian, John, can you just kind of run through maybe your exposure there, whether it's a percentage of the whole company or whatever you can. And certainly, we're hearing more and more about longer laterals in the Permian, more data usage and some drillers that you talked about robotics, this reporting cycle. So can you just kind of run through some of the main themes you're seeing on the leading edge of technology and where Pason is positioned to play there?
Jon Faber: Yes, sure. Happy to, Keith. Thanks for the question. So the Permian is clearly where a lot of the activity is happening in US land. And over the last certainly the 10 years since I've been here, but probably more meaningfully over the last five or six years, we've really grown our presence in the Permian. I think historically that was an area where we might have been underrepresented today, our share there would be very similar to our share in any other basin if you look at the drilling related market. So it's a very important part of our North American business in the drilling segment. It's also a very significant portion of the opportunity and the revenue on the IWS side, similar to what we see on the drilling side. To your point, people are trying to do a lot in the Permian to increase efficiencies. On the drilling side, they're clearly using more data to look to drive more automation technologies. Completions is a little further behind. I think historically completions has probably focused a little bit more on horsepower, logistics and chemistry and the usage of technology and data is a little bit more recent. And that is accelerating quite quickly and given the volume of activity in the Permian, it's an area where there's a lot of focus on some of the deployment of these technologies and a bunch of trials happening in that area.
Keith MacKey: Okay. I appreciate that. Just maybe on IWS, can you give us a bit more context around and probably has to do with some of the things you just talked about, Jon, but can you give us a bit more context around -- I'm sure customers, the feedback is good. But can you say -- give us a bit more specifics about the use case for customers, what they find they like about it and generally the retention rate on the equipment?
Jon Faber: Yes. So the value proposition, particularly from the automation technologies that IWS would be principally offering today is two-fold. There's clearly a very significant safety element. The ability to keep human beings out of the red zone on a frac site is quite significant in terms of safety impact and the ability to monitor what's happening in the red zone to avoid potential incidents is very important. So that's part of it. The other side, of course, is the efficiency side, where people are trying to increase the amount of time spent fracking and reducing nonproductive time. And so your ability to ensure that the right valves are opened and closed at the right times and rapidly in sequence when these changes need to happen, measuring pressures to know when to make those changes. That's all very important for driving efficiency. So from the automation perspective, Keith, it's much -- as much about safety and about efficiency. The usage of data in a more aggregated form is much earlier stage in completions. And that's where we see an opportunity really to do what Pason has done for a long time in drilling in completions and the usage of that type of technology is nearly nonexistent today because it's very, very early days in terms of being able to provide that type of service to that industry.
Keith MacKey: Okay. Appreciate it. Thanks very much.
Jon Faber: You bet. Thanks, Keith.
Operator: Your next question comes from Aaron MacNeil with TD Cowen. Your line is now open.
Aaron MacNeil: Hey, morning. Thanks for taking my questions.
Jon Faber: Good morning, Aaron. Jon here.
Celine Boston: Good morning, Aaron.
Aaron MacNeil: Jon, you highlighted the CAGR on the revenue per industry day in North America. You pointed to the mud analyzer and automation systems as a source of near-term growth. That's all noted. I guess I'm looking a little beyond that and maybe I'm front-running the Investor Day here, but can you give us a sense of what like a new product road map could look like on the drilling side? And are there any new functionalities you're developing or problems that your clients are asking you to solve? I guess what I'm getting at is like in your President's message, you talk about outperformance relative to the rig count. Like do you see this as a short and maybe medium-term phenomenon? Or do you have enough in the pipeline that you think it's a longer-term phenomenon as well?
Jon Faber: Yes. Good question. Thanks, Aaron. I guess I would just go back and say that, that growth rate of revenue per industry day over and above industry activity extends over 15 years. So that doesn't really feel like a short-term phenomenon to me. I think the question that you're asking is, do we think it can go forward at roughly the same rate? And the short answer is yes. It's a combination of a few things. One, of course, is that there is an effect of pricing every year when you think about the fact that prices generally move up in most industries through inflationary types of pressures. But the bigger contribution is people are trying to do more with data and technology. And as they're trying to do that, it's not just about mud analyzers. There's lots of adoption we're seeing in other ways of people accessing data to be used by more users, whether those users are humans or machines. And so the mud analyzer is an excellent example of an opportunity to create a very new and rich data set to further allow people to do things in automation and analytics. But when we think about kind of new product and new product road map, it's probably less about product names, and it's more about can we deliver more data that is valuable to people making decisions in real time from more places to more users. And so it's not always about a new product name. It's more about are we delivering more product or more data to people to make decisions.
Aaron MacNeil: Got it. Similar question. You also referenced international growth. Is that going to be a function of market share capture, higher product adoption like assuming you're behind in either of those buckets internationally relative to North America, again, just wondering where you see the lowest hanging fruit, like is it further product adoption in the market share capture, et cetera.
Jon Faber: So internationally, it will be much more around product adoption, particularly around more usage of data for purposes beyond just kind of real-time monitoring and instrumentation effectively. So there are certainly reasonably large parts of the international business, which would be lower day rates because it's taking a much smaller subset of the types of equipment and technology that we have used. And it's really the adoption of further technologies that moves the distribution of day rates to move more of a normal distribution that left SKU distribution.
Aaron MacNeil: Got it. Okay. Thanks. I'll turn it back.
Jon Faber: Yes. Thanks, Aaron.
Operator: [Operator Instructions] Your next question comes from John Gibson with BMO Capital Markets. Your line is now open.
John Gibson: Good morning, all. Can you hear me?
Jon Faber: We can hear you fine, John. I think you got cut off, but you're still here, so.
Celine Boston: Hey, John.
John Gibson: Okay, cool. First on IWS how should we think about the cadence of module additions this year based on your CapEx? Is it kind of a straight line? And then also are the systems currently being built already accounted for? Or is there an element of sales that needs to happen prior to adding them on [indiscernible] across the US?
Jon Faber: Yes, it's never linear, John, right? You don't know exactly which customers you're going to get where -- and part of the challenge when you're working with very large customers is that they sometimes want to scale to additional fleets quickly, and so you have to have equipment available for them to do that. So when you talk about the equipment being earmarked, would it all be directly earmarked to a specific date and a specific job, not all of it today. But certainly, we have line of sight to where we need to have that equipment available to be able to respond as operators scale their programs. And so when you talk about the sales effort -- the sales team is doing a wonderful job on the IWS side of adding new customers. And one of the things that really just to kind of fill you in on a dynamic around IWS. They're a little bit more exposed than Pason itself would be to slow down as a result of M&A activity that's happened in the US or as a result of depressed natural gas prices. So they would see some slowdown of activity, not because equipment is moving somewhere else, but the equipment is just sort of slowing down for a period of time. And so the easiest sales, frankly, are when things get busy again where you already have the relationship and have already done lots of work with the crews. And so as we talk about activity picking up later into this year, and into 2025, there's a bunch of what you could almost think of as very low-hanging fruit growth opportunities just from the reactivation of a bunch of equipment. So their ability to grow revenue. I mean, it's a record quarter for IWS this quarter, but that sort of matches the fact that they've also had to backfill some slowdown of activity in some parts of their business. It would be somewhat similar to the drilling business where US market share for Pason when we reported it looked flat for a period of time at the same time that the industry was moving more meaningfully to the Permian, where we had less representation, as I referenced earlier, in my remarks to Keith. And so you had a lot of regional share growth to make up for the shifting of the industry. Similarly, IWS has had a lot of growth to make up for some slowdowns in some areas where they're a little bit more exposed just given their size and customer base today.
Celine Boston: John, maybe just on the -- your first part of that question, the cadence of the CapEx. We we've guided roughly towards $25 million of CapEx for the completions business this year. I think you can expect that to happen steadily throughout the course of the year. And that's really a function more of manufacturing capacity in every given month than anything else.
John Gibson: Okay. I appreciate that. Second, the revenue per day number in IWS is higher than what I was expecting, I guess, first, is this sustainable? And second, we compare extrapolate it to day rates on the drilling side, I know it's probably not perfect apples-to-apples. So would this imply the addressable market is likely larger on the pumping side?
Jon Faber: I think if you look at addressable market, it's likely larger on the completion side. There's a lot of work to go get that, right? So I don't want to suggest that you can say without a lot of effort in some time. It's going to achieve realization of revenue from that. But I think the market opportunity, as you're saying, John, is probably as significant or larger. To your question around a sustainable, yes, it's sustainable if this is all that we did. Now as we roll out with new customers and as we get into deploying some more of these technologies much more on the data aggregation and data delivery side, I think what you'll start to see is a little bit more variability in that metric than you see in revenue per industry day on the drilling side based on customer mix and product mix through the revenue opportunities you have. So as you work with some new customers, they may take a subset of the equipment and then they start to use more of the technologies over time. So it's sustainable if we just kept working with the same customers in the same way, but we're going to be, of course, rolling out new technologies. We're going to be looking to work with new customers and that will introduce a level of variability.
John Gibson: Okay. Great. I really appreciate this one. I'll turn it back.
Jon Faber: Thanks, John.
Operator: Your next question comes from Cole Pereira with Stifel. Your line is now open.
Cole Pereira: Hi. Good morning, all. So acknowledging we're just through the first quarter here, but pretty solid results out of IWS thus far. You'd previously guided to $20 million to $25 million of revenue growth in 2024. Are you still comfortable with that? Could you see that maybe getting revised higher and how should we think about growth in that business beyond 2024?
Jon Faber: Yes. So I would say the short answer is we're still comfortable with that sort of projection. I would say that it's always subject to the industry conditions. And as I just said to John, they're probably a little bit more exposed to some of the dynamics around natural gas price and some of the M&A activity we've seen. And so what that will ultimately mean will be a question of the timing, probably more so than the deliverability of those revenue growth opportunities. There's always a risk of upside revision to those numbers when we look at the types of customers that we're working with and their ambitions to deploy technology across a broader number of suites or fleets rather. And so I think today my best estimate or my best guidance is in that same sort of range that you've kind of referenced and it's always a little bit hard to know exactly the timing and exactly when some inflation around some customers' activity will start to deliver. Going through 2025, we continue to see very much that same trajectory. Obviously, some of our comments around drilling activity picking up through later 2024 and into 2025. Some of that is based on an improvement, on the natural gas side, to my earlier comment about some natural gas folks slowing down, repicking up. I think that would probably accelerate the growth of the IWS business a little bit more than what you would see in 2024, if that's how the activity played out.
Cole Pereira: Okay. Got it. Thanks. And can you just remind us how much of that business is operating in Canada right now? And just to reiterate kind of your earlier comments, there's no real competitors out there of scale for this business. Is that fair?
Jon Faber: There are competitors of scale in this business. There's a few other people who do things now. Our understanding is IWS is probably about half of the business for people who use this type of technology and the other half is shared by a few folks. So it's not as the IWS is the only player, but they're clearly the leading player in the industry. It's essentially all in the US today. They do occasionally pick up a job here or there on the Canadian side from more word of mouth and awareness. We haven't really put a lot of commercial business development efforts into the Canadian market or other international markets where we think it applies just given the pace of growth and the amount of opportunities we have in the US land right now.
Cole Pereira: Got it. And then Celine there's a bit of an uptick sequentially in R&D and G&A, understandably, how should we kind of think about those two figures on a quarterly basis going forward?
Celine Boston: Yes. So I would say the primary reason for the uptake quarter-over-quarter would be as a result of the incorporation of IWS' financial results. SG&A, you can think about that one mostly as fixed going forward. R&D also primarily fixed, but R&D remind you it's a strategic choice, right? And as we talk about making investments in the data aggregation offering on the completion side of things. That's a strategic choice as it relates to potentially making incremental investments in R&D.
Cole Pereira: Got it. Perfect. That's all for me. Thanks. I'll turn it back.
Jon Faber: Okay. Thanks, Cole.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call over to John for closing remarks.
Jon Faber: Terrific. Thanks so much. Thanks for taking the time to join us this morning. We do appreciate your continued interest and support, and we're pleased to be able to start sharing more information about IWS. As a reminder, we are hosting an Investor Day at our Calgary office on May 30th. If you would like to attend and you haven't had a chance to register please do so on the Investors section of our website or by e-mailing investorrelations@pason.com. And if we don't have a chance to connect before then, we look forward to seeing you then or you can reach out to Celine or myself if you have any further questions. Thanks so much and have a great day.
Operator: This concludes the conference. Thank you everyone. You may now disconnect.